Operator: Ladies and gentlemen welcome to the Triple-S Management's Third Quarter Conference Call on Wednesday 6, November 2013. Throughout today's recorded presentation, all participants will be in a listen-only mode. After the presentation, there will be an opportunity to ask questions. (Operator Instructions) I will now hand the conference over to Kathy Waller. Please go ahead.
Kathy Waller: Thank you. Good morning, everyone. Welcome to today's third quarter 2013 earnings conference call. With us today are your host Ramon Ruiz-Comas, President and Chief Executive Officer and Amílcar Jordán-Pérez, Chief Financial Officer. Also in the room are Alan Cohen, Chief Marketing Communications Officer and Liliana Rivera-Corcino, Corporate Controller. I'm sure all of you've heard the Safe Harbor statements before but we still need to get this housekeeping issue out of the way. Each quarter Triple-S' Management Executives will provide a current view of the company's future. This means that they will share forward-looking information with you. As you know, these statements can be affected by risks and uncertainties involve in the business. Despite management's best efforts, what actually happens may be materially different from what you hear in today's call. To get a better understanding of why this may occur please look at the Safe Harbor section in today's press release and in the company's periodic filings with the SEC. In addition, the information shared on this call should be considered current only as of today. After today, please use this information for your reference only and remember that the company assumes no responsibility to update it. This call is being webcast. Shortly after it ends, you will find an archive version on the Investor Relations page of the company's website at www.triplesmanagement.com. If you don't have a copy of today's news release already, you can either find one on the company's website or you can call me, Kathy Waller, at 312-543-6708 and I will get one to you immediately. In addition, you can always make sure you're on a distribution list going forward. With that, I'd like to turn the call over to Ramon. Ramon, please go ahead.
Ramon Ruiz-Comas: Thank you, Kathy. I am pleased to welcome everyone to this morning call. I will first provide an overview of our September quarter results, then briefly comment on recent corporate development and close with a review of our 2013 guidance. Amílcar Jordán, our CFO, will then offer greater detail about our quarterly performance. As we have discussed in the past, the September quarter generally reflects the second highest utilization rate in any given year and 2013 was no exception. In addition, the quarter was negatively impacted, as expected, by the negotiated reduction in administrative service fees associated with the Medicaid contract which went into effect as previously discussed on July 1, 2013. The incremental members associated with the three new regions, however, became on stream on October 1, 2013. Also, the quarter was affected by unfavorable prior period reserve developments and unexpectedly high volume of claims in the United States Virgin Islands. In the third quarter of 2013, our consolidated revenues were $609.5 million and net income was $18.6 million or $0.58 per diluted share. Pro forma net income was $5.9 million or $0.22 per diluted share with $11.7 million or $0.41 per diluted share in 2012. The 2013 consolidated loss ratio was 83.3% and the medical loss ratio was 86.7%. Our reported GAAP bottom line results include a $12.8 million net of tax, special distribution received from the Puerto Rico Joint Underwriting Association, known as JUA, by the property and casualty segment. This segment reflects our share [ph] of our portion of the net profit accumulated by the JUA among all its members. The Puerto Rico [indiscernible] approved a special law how to write in the distribution of this profit with an applicable tax rate of 50%. Our medical [indiscernible] about 3% year over year, already in line with expectation. The premium decline in the Medicare business reflects lower sales of non-dual offering while the drop in commercial membership was partially offset by a 2.5 average rate increase. Our managed care adjusted MLR for the third quarter was 40 basis points below the prior year, primarily reflecting the positive impact of measures taken last year in Medicare, especially with the PBM contract [indiscernible] in American Health – offset by seasonally higher utilization and increased cost trend in the commercial sector, particularly in the US Virgin Islands. The Medicare Advantage business continued to perform well. The strategic plan we implemented in 2012 is yielding results under realignment of our Medicare units into one organization is nearly complete. We have also carefully transitioned leadership within business. In late September, Susan Rawlings-Molina left the company to pursue her persona interests back on the mainland. We thank Susan for her dedicated service and contribution to Triple-S. We are quite fortunate to have Carrero’s caliber to replace her. Carlos joined the company in March 2011 and worked hand in hand with Susan. He is really well versed in all aspects of Medicare. The knowledge he gained over his 30 years’ experience in the healthcare insurance industry, most of them in the Medicare appeal using the tools necessarily to drive growth in this core business. We’re announcing the 12-month extension and expansion of the miSalud contract with the Puerto Rican Health Insurance agency on June 27, we immediately began rolling of the three new miSalud regions. The addition of the three new regions has proceeded smoothly, and our membership in this program after October 1 2013 is approximately 1.4 million across eight regions. Notably, Triple-S now services approximately 2.2 million people on the island. Achieving this record membership level is an important milestone for Triple-S Management as it reinforces our unwavering commitment to delivering quality healthcare in Puerto Rico. As a reminder, Triple-S miSalud received a member per month [indiscernible] in the miSalud program. While this contract remains profitable year to date, our administrative service did decline in September quarter by approximately $5 million from a year ago, reflecting pricing concession made to government in our active negotiation. The 500,000 new members, first with the new three regions, did not come on board on the October 1, so that the 33 decline in the quarter will be almost fully mitigated by the incremental volume going forward. We also anticipate generating synergies and eliminating redundancies as we streamline the regional office network. Turning to Medicare, CMS finally released Medicare Advantage per rating for 2014. American Health contract and the other four Triple-S contracts and received 3 star ratings. In total, this 3 star rated contract now represent over 80% of our Medicare membership. With total enrolment season now underway, we have a comprehensive product offering under two well established brands that are competitive in the Puerto Rican market space. We also continue to work with the government, we improved our star ratings across all contracts. Now let me give our 2013 guidance. As we commenced the fourth quarter, our seasonally stronger, we expect that our full year pro forma EPS will fall within the lower end of our guidance of $1.95 to $2.05. Investors are reminded that our outlook compares extension on expansion of the miSalud contract, overall improvement in the managed care MLR, continued benefit of our new PBM relationship and probably expansion in the American Health Medicare business and the financial impact of exchange impact as in Puerto Rico. In conjunction with our six-year anniversary as a public company, we are hosting an investor day on December 6 at the New York Stock Exchange, commencing at noon. Several of our key executives will discuss their business segments and the various future growth opportunities for Triple-S. We will communicate our internal details shortly and look forward to see you there. With that, I will turn the call over to Amílcar to review our third quarter 2013 results in greater detail.
Amílcar Jordán-Pérez: Thank you, Ramon. Good morning to all the participants in the call. As Ramon mentioned, our net income for the quarter ended September 30, 2013 was $18.6 million or earnings per share of $0.68 compared with net income of $11.7 million with EPS of $0.41 in the same quarter of last year on $20.1 million with EPS of $0.72 for the second quarter of this year. When compared with the same quarter last year, this quarter was impacted by lower managed care revenues in both the Medicare and commercial businesses, also with higher operating expenses. The MLRs continued to reflect lower levels than in 2012 reflecting the year [indiscernible] to improve this indicator offsetting most of the results by the lower net income and higher expense. Let me begin by outlining the most significant items affecting the quarter. Our top line income reflected results from premium revenues triggered by lower membership in our commercial and Medicare Advantage businesses and lower ASO fees. Commercial membership continues to show a year over year decline due principally to the prime loss of some accounts reflecting our risk based pricing strategy, strong competition in the market and to a lesser degree attrition at existing accounts due to sustained weakness in the Puerto Rican economy. In the case of Medicare, membership decrease is related to our product design for 2013 particularly among the American Health brand offering. Remember that our primary objective within Medicare business was to improve financial performance, [indiscernible] membership losses. Product re-design and billing with re-contracting, approvement of financial performance continue to demonstrate improvement in the third quarter. In relation to the revenues when compared to the same quarter in 2012, our gross revenue decreased $9.5 million or 1.6%. This decrease resulted from lower premium revenues by $17.7 million, mostly in managed care and lower ASO fees by $4.8 million. Revenues for the quarter include an inclusive other income of 13.3 million, principally resulting from the special distribution received the property and casualty segment that was provided by the Puerto Rico Joint Underwriting Association as Ramon mentioned before. This non-recurring item of 25.6 million represented net of our special tax of 50%, having a positive impact of 4.8 million in other income. ASO fees were down mostly in the Medicaid ASO business, reflecting the lower per member per month service fee rate within the annual result contract, which became effective in July 1. As Ramon mentioned, going forward, the effect of the lower per member fees in the five regions 2011 will be mitigated by the service fees from the three regions that came on board October 1. Quarterly premium revenues of our Life business [ph] rose by $600,000 while our property and casualty subsidiaries premium revenues decreased by $1.2 million. Consolidated fees incurred for the quarter decreased 29.1 million or 6% driving down the consolidated loss ratio by 3.3%, an improvement of 250 basis points. The 300 basis point increase in the managed care MLR while they may contribute to the decline in this metric, or it was partially offset by the increase in loss ratios of our property and casualty and life insurance segment. On the other hand, consolidated operating expenses rose $11.6 million from the same quarter in the prior year, largely reflecting results related to special technology initiative, expenses associated with Medicare risk scoring [indiscernible] the premium tax became effect on July 1 [indiscernible] in preparation for the three new regions that we serve under the miSalud contact with the government of Puerto Rico. The consolidated operating expense ratio increased 280 basis points from last year, reflecting the combination of higher operating costs on lower premium term. On a sequential basis, however, operating expenses decreased 4 million in spite of the new premium tax. Consolidated quarterly income trend was 3.1 million, 1.6 million higher than the income tax expense for the same quarter last year. This increase principally results from the recent amendment to the Puerto Rico tax code which increased the highest margin in our corporate income tax rate from 30% to 39%. On a year to date basis, the profitability of the corporation reflects significant improvement from last year. Net income has increased 19.7 million or 54.3%, principally driven by the reduction in fees, [indiscernible] of 88 million as a result of an improvement of 320 basis points in the consolidated loss ratio. This improvement was partially offset by lower gross revenue of 30.4 million and higher operating expenses by 41.9 million. The year-to-date results have also been affected by some non-recurring items like the special distribution mentioned before had an impact of 12.8 million. The impact of the tax code amendment on the current and deferred taxes, included an new tax as well as expenses incurred in the integration of our operation and improvement of the Medicaid Advantage business on certain IT initiative, like the implementation of our new financials and [indiscernible] The corporations, with diluted earnings per share increase to $0.01 for the first nine months of 2013 from $1.27 for the same period last year. I am now going to focus on the portion of our segment results. Managed care premium for this quarter were 491.5 million, down 17.1 million or 3.4% year over year, primarily reflecting lower commercial and Medicare member month enrolment, partially offset by a moderate increase in our [indiscernible]. Our commercial average premium per member per month increased by approximately 2.5% compared to a 2% average premium rate increase in the same quarter of last quarter. The Medicare average premium per member per month increased approximately 2.8% compared to a 2.6% decrease in average premium rate during the same period last year. Managed care segment claims for the three month period declined by $30.2 million or 6.6% year over year and the MLR showed an improvement of 300 basis points. The Medicare MLR was 83%, 640 basis points lower than last year. Excluding the effect of prior period research developments and risk score adjustments, the metric decreased by 300 basis points reflecting lower constraints, largely the result of the formal cost savings achieved through American Health new premium agreement with America [ph] and the effect of the changes in 2013 product designs offset in part by increased utilization trends. The claims incurred for this quarter were also favourably impacted by higher level of [indiscernible]. The commercial MLR excluding the effect of changes prior period research development and risk score adjustments increased 220 basis points when compared to a year ago. The increase reflects higher utilization and constraints particularly in our US [indiscernible] operation which incurred some claims in this quarter. Also affecting the period MLR was a more competitive environment in Puerto Rico which has challenged the new agreement rates. Managed care operation expenses rose 8.2 million from the prior year mostly due to increased medical related expenses, particularly those associated with risks scoring and our favourable compliance program. This segment has also incurred approximately 2 million in premium sectors related to annually enacted Puerto Rican tax law that became effective on July 1. During this quarter, managed care segment also IT project underway mainly to ensure compliance within those three standards versus the implementation of [indiscernible] by Blue Cross Blue Shield Association, of a 2014 deadline as well as operate with score system on the implementation of our new financial term, both of which were implied during this quarter. The segment’s operating expenses experienced a sequential decrease of 4.8 million or 5.6%. Our life insurance segment generated operating income of $3.8 million compared with 4.1 million a year ago. The decline reflects higher claims incurred principally driven by increased counter claims as well as higher operating expenses which offset the growth in premium revenues. The property and casualty insurance segment, which we mentioned under pressure because of the tough commercial market reported operating income of $400,000 compared with $1.9 million in the same quarter last year. This reflects a decrease in premium resulting from lower ratings of commercial and life insurance cost as well as higher claims incurred, principally driven by increased claims in general liability and other insurance products. As of the end of September of this year, the corporation adds an investment portfolio of 1.3 billion. We have gross unrealized gain of 73.7 million, this portfolio includes 42 million in mobilizations of the commonwealth of Puerto Rico with gross unrealized losses of 5 billion. During this quarter, the corporation also prepaid 10 million senior notes which carried an interest rate of 6.70% at no premium. During the same quarter, last year the corporation also prepaid long term debt of 25 million with interest rate of no premium. EBITDA for the quarter are – nine months period ended on September 30, 2013, amounted to 29.7 million and 85.8 million compared to 22.3 million and 70.2 million for the same period last year. The value per share as of September 30 of 2013 was 27.86. With that, now we will proceed to the Q&A section.
Operator: (Operator Instructions) Our first question comes from Ralph Giacobbe from Credit Suisse. 
Ralph Giacobbe – Credit Suisse: I guess just help us with your sort of comfort level on the applied kind of fourth quarter guidance, can you give us a lower end, and it looks like it’s about $0.60 for the fourth quarter off of – kind of the $22 in the third quarter. I know you mentioned seasonality but I was hoping you could sort of bridge that gap a little bit more for us in terms of some of the moving parts that may help in the fourth quarter besides the seasonality?
Ramon Ruiz-Comas: Okay, remember that in the first – I would say a significant portion received from – that’s something that is part of the process. Second, I will say we have the effect of an inflow of a new three regions of Medicaid contract. Now remember that they were not – it was not effective during the third quarter. So there you should have the main reason for our comfort with the fourth quarter result that we are projecting. Normally [indiscernible] is very significant in the fourth quarter and the reason why – so many decisions drove losses during the last two week of December strategically. And normally in the hospital station they are down, because you don’t have too many petition making any elective procedure and they are just emergency. So the fourth quarter seasonality is one is the main reason, but also I will say the fact that we have the inflow of the three new regions, that also will be important to the EBITDA we have for the fourth quarter.
Ralph Giacobbe – Credit Suisse: There’s just a high volume in the Virgin Islands market. Any more details there and I guess is that something we need to think about for the fourth quarter there in terms of – [Multiple Speakers]
Ramon Ruiz-Comas: That’s something that we are working right now, we got profit. So yes, we saw the impact in the fourth quarter but we see – just this is considered – Virgin Islands is a small population, therefore in terms of type, it’s not an indicator. Therefore we have, I would say, some structuring that’s happening in the third quarter, and there is no reason why we believe that want to reconsider profit, we are working on to mitigate the impact of those claims. We are going to have – we are going to reduce that impact. So our expectation is to continue to work with that situation, of the first quarter and the first month of 2014. But not additional – we don’t expect any additional problem.
Ralph Giacobbe – Credit Suisse: And then just the unfavorable prior period reserve on the commercial side, I guess, maybe a little bit more detail there and in terms of sort of your comfort that, that’s sort of adjusted at this point and not sort of anything when going there?
Ramon Ruiz-Comas: I would say the amount is not a significant one, but it’s part of the reason why – we normally are conservative in the way we make reserve. So when we have a favorable reserve development it’s not affected. Therefore that’s why we highlight – therefore we don’t continue to see any significant problem with the reserve, we normally are very careful when we develop a reserve for each month and for each quarter.
Ralph Giacobbe – Credit Suisse: And then one more if I could squeeze one in, just on the upcoming industry tax next year, just want to make sure one that – you are to sort of subject to that tax rate, two, sort of your comfort level and ability to sort of pass through or offset some of those pressures?
Ramon Ruiz-Comas: Okay. I will say – maybe Ralph, before they talked about the reserve development in the commercial is $1 million overall. So to be clear, in terms of your question, in terms of the insurer fee, yes it affected Puerto Rico. Yes in the case of Medicare Advantage, it’s unclear when we have the product decline, for this year, that was considered as part of the costs that we were going to incur. In the commercial business, I will say we are – our projection is that we are going to be able to pass through this insurer fee to our members. So at this time they are very – both yes.
Operator: Our next question comes from Peter Costa from Wells Fargo Securities.
Peter Costa – Wells Fargo Securities: What do you expect for your premium cut as far as your tax rate to be in the fourth quarter, I am not sure I heard that, but little hard to tell this quarter with a big payment that you got –
Ramon Ruiz-Comas: Peter, can you repeat the question?
Peter Costa – Wells Fargo Securities: So what do you expect for your tax rate in the fourth quarter?
Amílcar Jordán-Pérez: Peter, what we think is a higher tax rate in the fourth quarter. I have to verify that, we mentioned in our discussion, a significant tax rate on the special distribution was 378, net of the dividend income in the other income line. So it’s not affecting the effective tax rate for the quarter. In the fourth quarter, as I mentioned in my presentation, maximum tax rate increased to 39%, so we have an improvement in the performance of the commercial business, which is subject to a regular corporate tax rate which is the higher effective tax rate in the fourth quarter. Then the premium tax is recorded as operating expenses, and the impact in the third quarter was 2.6 million, for the first quarter we are foreseeing achieving [ph] impact [Multiple Speakers]…
Ramon Ruiz-Comas: Actually because we get higher income from the managed care companies, this is going to be higher. So it will be between, I would say, it should be between 20%, 22% the effective tax rate.
Peter Costa – Wells Fargo Securities: And then the U.S. Virgin Islands claim issue that you talked about, that is all of the new business, correct, that you just purchased?
Ramon Ruiz-Comas: Actually it was not purchased – it’s our new client. Remember that in Virgin Islands, actually although we have the license there was no significant business there, if they are for business of companies we are doing business in Puerto Rico. So actually we are growing that business and in this case here, the cases that we are talking about where people that went in the US to receive earnings [ph], and that has a definite timing but because right now that operation is really small.
Peter Costa – Wells Fargo Securities: As to sort of the new account that you signed up this quarter, or was it a new account this year?
Ramon Ruiz-Comas: During the year, I would say, new accounts that have been signed during the year, and that’s why part of our – I would say, corrective fashion, we are looking at contract with a provider in US Virgin Islands, also probably we signed, probably seen so many patients [indiscernible] these people can’t receive outside of the US Virgin Islands.
Peter Costa – Wells Fargo Securities: And can you tell us sort of the size of the US Virgin Islands business as overall?
Ramon Ruiz-Comas: Overall, the size of the business is about $1 million.
Peter Costa – Wells Fargo Securities: The premium side or the –
Ramon Ruiz-Comas: Premium side.
Operator: (Operator Instructions) We have no further questions at this time. Please continue with any closing comments you wish to raise.
Ramon Ruiz-Comas: Yes, on behalf of Amílcar and myself, I would like to thank you for participating on today’s call. We appreciate your time and interest. I look forward to seeing many of you at our investor day on December 6 at the New York Stock Exchange. Thank you.